Mor Weizer: So, ladies and gentlemen, welcome to Playtech's interim results presentation for 2017. The first half of 2017 once again demonstrated the proven strength of the Playtech model as the company delivered an impressive operational and financial performance, driven by both underlying growth and recent acquisitions. Reported revenues increased 25% to €421 million and adjusted EBITDA increased 19% to €271 million. Importantly, the results in the period continue to establish Playtech's ability to achieve significant milestones, alongside delivering double digit growth -- organic growth. Not only did the strategic acquisitions achieved in 2016 augment organic growth, but significantly, the integration of those acquisitions, coupled with the contract renewals in the period, will deliver a platform for future growth. Important strategic milestones were also achieved in the continued execution of Playtech's industry leading omni-channel solution with deepening its offerings in key verticals. As with the gaming division, momentum in the financial division, now TradeTech Group, has continued with improvements across all KPIs and further strategic achievements. The acquisition of assets from Alpha Capital Market represents a significant milestone in the evolution of the B2B offering for the division. To reflect the board's confidence in growth and cash generation of the business, Playtech adopted a progressive dividend policy in 2016. One of the pillars of the Playtech model is its ability to convert its operational performance into strong cash generation, and this has allowed a 10% increase in the interim dividend in H1 2017. Taken altogether, this proven platform for growth across the business has again delivered a strong performance and management remain confident for future strategic progress in the second half of 2017. So now I'll hand you over to Andy.
Andy Smith: Good morning, everyone. Turning first to Slide 5. First Half of 2017 has seen Playtech once again deliver strong financial performance, driven by a combination of underlying growth and the acquisitions made in 2016 and at the start of 2017. Total reported revenue and adjusted EBITDA increased 25% and 19% respectively compared to the first half of 2016. Reported adjusted net profit increased 60% in the first half due to significant currency fluctuations, currency exchange rate, fluctuations mainly in sterling impacting the H1 2016 reported adjusted net profit leading to high growth from H1 '16 to H1 '17. Looking at the next slide. Revenue and adjusted EBITDA growth at constant currency was higher than reported growth with currencies, including pound sterling and various Asian currencies, providing a five percentage points headwind in the half. Adjusted net profit growth at constant currency was lower than [Indiscernible] EBITDA growth, and I'll explain the reasons for this later in presentation. Analyzing the P&L at constant currency and excluding acquisition, we saw a very healthy double digit growth in all key line items. Turning now to Slide 7. Given the high levels of M&A in 2016 and at starts of 2017, we presented the performance of each vertical both including and excluding acquisitions. Casino saw very strong growth of 26% including acquisitions and 22% excluding acquisitions with a particularly strong underlying performance in Asia with both Quickspin and Eyecon, which were both acquired at the start of 20 16, performing well. Looking now at the Services line. At the results in February, we flagged that revenues from Services were expected to be broadly flat in 2017 with increased white label revenues predominantly from the Sun Bingo contract offsetting a decline in other Services such as the expected loss of the Pokerstrategy contract with PokerStars and certain customers of Playtech pulling out of certain markets such as Australia and other dot com market. In actual fact, services revenues are 6% lower than last year. This in part due to lower than expected revenues from Sun Bingo contract, which Mor is going to talking about a little later together with a number of other moving parts, both on the positive and negative side. Excluding while label, Services was down 20%. Turning now to Sport. The quarter growth was significantly boosted by the acquisition of BGT with reported revenues more than doubling. These additional revenues were offset in part by the well flagged loss of three Mobenga contracts with U.K. licensees, who have implemented their own content, which contributed to Sport be significantly down when looked at on an x acquisition basis. Looking now on Bingo. Reported revenues grew 70%, predominantly due to the first full half inclusion of revenues from ECM, which was acquired in October 2016. Excluding acquisitions, Bingo saw 3% growth. However, as we mentioned in February, Bingo is a key acquisition channel for Casino with Bingo side games being included in Casino line, and therefore, as with Services, Bingo revenues should not simply be looked at in isolation. Poker revenues fell by 5%, reflecting the challenging nature of the market, although comparing favorably to the declines seen in recent years. Finally for this slide, the Other line was up 148%, including acquisitions, driven by fun tactics, which has seen fantastic success from the Norcos casual game as well as some social gaming within Quickspin. Excluding acquisitions, the Other line increased by 19%, and this is mainly driven by IGS, Playtech's retail casino management system. Turning now to look at the margin. As a reminder, the 2016 full year results, I said that going forward, I would expect group margin to be a less relevant KPI for the group, given the different margin profiles of the different parts of the business. I then further added that this mix effect was expected to lower 2017 group margin to be around the level of the group margin in 2015 with a high percentage contribution from the lower margin parts of the business, including white label, specifically from the full-year contribution from Sun Bingo, from the financials division and from Casuals. The group EBITDA margin in the half was therefore very much in line with what we expected at 41% with a significant increase in the margin on the financial division, which is up from 19% to 36%. Looking now to the next slide. Looking to chart on the left, it's clear to see the impact of white label and BC operation, our margin, as well as from Casual. Once these parts of the business are excluded, the margin in the half actually increased on an underlying basis. Looking at the chart on the right, if acquisitions are further excluded, which on the whole were dilutive, there is a significant increase in the first half margin. Looking now at the breakdown of costs. Given the level of M&A activity last year, I thought it will be most helpful to review excluding acquisitions. Overall operating costs increased by 6% in the half, and I'll analyze this in more detail shortly. Revenue driven costs doubled in the half with the vast majority of the change driven by Sun Bingo, offset by lower brand royalties for the exploration of t he mobile contracts. Now looking to the 6% increase in operating costs. Employee-related costs fell 6% in the half from the previously disclosed cost cutting at the end of H1 '16, the full benefit of which was enjoyed in the first half of this year. Cost of service increased by 5% due to a variety of factors with the main one being increased feed costs. Operational marketing costs were 20% lower with significantly lower marketing costs in markets outcome as well as lower revenues from marketing services. Admin and office costs fell 5% due to lower office costs following the previously disclosed cost cutting in Israel together with one-off office costs in Ukraine in the first half of 2016. Travel, exhibitions and marketing increased by 19%, mainly due to the sponsorship of Arsenal football club. Turning now to Slide 11. As I mentioned earlier, adjusted net profit growth at constant currency was lower than constant currency EBITDA growth, mainly due to high depreciation charge following the exhibition of BGT as well as the lower dividend from the Plus500 holding, which was paid right at the start of H2 2017 compared to being paid in the first half of 2016. Growth in adjusted EPS was in line with growth in adjusted net profit. On a fully diluted basis, the reduction in the number of shares in issue following the buyback at the end of 2016 was offset by the increased number of the shares underlying the convertible bond. Looking now at cash flows. Net cash flow from operations was up 48% to 147 million. Operating cash conversion of 79% was broadly the same as in H1 2016. As a consequence, day sales outstanding have increased from 37 days at year-end to 46 days at the end of June 2017. However, comparing DSOs at the end of June '17 to the end of June '16 shows an improvement of seven days. The strength and sustainability of our operating cash flow has enabled an increased ordinary dividend of 10%, in line with Playtech's new progressive dividend policy, which was adopted last year. Turning now to Slide 13. The cash at the end of H1 '17 is broadly the same as the end of '16 with net cash from operations offset by the payments of the 2016 final dividend, acquisitions, which the main one was Eyecon, and CapEx. Turning now to the balance sheet. It's worth noting, we are intending to pay down the currently fully drawn down revolving credit facility, which will reduce the gross cash position by €200 million, saving a couple of million a year in interest costs, and that's on a full year basis. The carrying value of available said investments, being mainly the holdings in Ladbrokes and Plus500, increased €242 million at the period end, aAlthough it's worth noting that share price of Plus500 has increased significantly post to period end. And finally from me, given the number of moving parts, I thought it would be useful to include some points as the shape of the results for the rest of the year. As of the first half of 2017, the full year will be driven by both underlying growth and growth from recent acquisitions. The modeling purposes is worth noting that since the start of the year, the euro was spent significantly against many currencies by taking Playtech's budget at the start of the year and applying the impacts of currencies in H1 2016 and then on the basis of spot rate from now until the end of the year, the impact on our budgeted reported EBITDA is well into double-digit million. Following a very strong H1 from Asia, we're expecting a lower contribution in the second half, although we do still expect good Asian growth in the second half compared the second half of 2016. As Mor will talk in great detail shortly, although we're expecting a full -- expecting further improvements in the Sun Bingo contract in the second half, we are still expecting a material loss, not least because H2 contains July and August, which is being impacted by good weather in the UK and by school holidays. Despite these headwinds, we continue to have confidence in a strong performance in 2017. And with that, I'll hand it over to Ron.
Ron Hoffman: Good morning, everyone, and thank you, Andy. I'm very proud to stand here and present to you the significant progress we have made in the financial division since my first presentation as full time CEO at the full year 2016 results. In line with the strategic progress at group level, H1 2017 saw us achieve key milestones in the Financial division, culminating in the branding of the division as TradeTech Group, which I will expand on more later on in slides. Looking at the top line performance of the division. The momentum reported at the full year 2016 results has continued into the first half of 2017. The steps taken in 2016 to deliver an efficient compliance, competitive and sustainable business model are bearing fruit in 2017 with TradeTech reporting a 44% improvement in revenue and a 173% increase in EBITDA to EUR 16.1 million in H1 '17. When excluding the CFH acquisition, H1 ' 17 results report a 4% increase in revenue and 124% increase in EBITDA compared to H1 '16. The steps taken to restructure the business in 2016 resulted in a significant reduction in headcount and reduced costs while simultaneously maintaining growth in KPIs and more modest growth in revenue. This has been achieved despite the continued evolution of the regulatory framework, including restricted leverage and the prohibition of bonuses incentive introduced in January 2017. Looking now at the key metrics of the business. We see improvements in both B2C and B2B KPIs with active customers for markets.com B2C activity up 24% and first time depositors up 94% on H1 '16. This reflects significant improvement in marketing initiatives, including refocusing on online channels, which are driving lower cost per acquisition, enabling growth in first depositors and ultimately active customers. Part of the reason for the lower growth in active customers compared to the higher growth in first depositors is due to the time lag, whereby most of the active customers in H1 ' 17 are a result of the first depositors in H1 and H2 2016. In addition, it is important to note the different profile of customers which were previously derived from sales and retention center activity, which was subsequently shutdown versus the new customers' profile, which results from fewer direct online marketing initiatives. When looking at the B2C revenue line, this has remained relatively stable despite the change in our offering related to the new regulations on default leverage limitation and elimination of incentive bonuses. When looking at the B2B KPIs and after adding comparable CFH numbers on a pro-forma basis for the comparable period, we see improvement in all key metrics with volumes up 36% and revenue up 46% on a like-for-like basis, showing significant improvement in the business and the focus on B2B as a factor for growth for the group. Mirroring Playtech's core gaming vertical, TradeTech Group operates in a sector driven by dynamic regulation. As outlined at the full year results, 2016 was a transformational year for the Financial division. Our experience of new regulatory framework learned in the gaming division prompted TradeTech to be an early adopter of new regulation and even going beyond that, adhering to best practices and not just industry standards. In order to stay ahead of regulation, we maintain an industry leading team of more than 60 staff in compliance, verification and support, ensuring regulatory best practice in both the B2C and B2B segment of our business. We've seen MiFID II as the catalyst for EU jurisdiction to establish their own specific guidelines and regulations, meaning brokers will face further challenges, and we'll have to adapt their business models accordingly. Given our size, technological superiority and established team, we are best positioned to capture more of the market share in those jurisdictions on the back of changes, meaning we're well positioned for future growth. TradeTech's strategy is to continue to build its capabilities across the entire value chain in the financial trading sector. The first half of 2017 saw a significant step in this strategy with the acquisition of CFH late in 2016 and is now further strengthened with the acquisition of assets from ACM Group, known in the industry as Alpha. Alpha is a UK-based B2B market maker, dealer and broker focusing on delivering bespoke risk management and trading services to institutional and professional clients. Through this transaction, TradeTech Group has access to intellectual property, trading technology, business teams and international clients from Alpha and is now able to offer industry leading B2B risk management in trading services under the newly established brand TradeTech Alpha. The transaction is structured with the low initial consideration of €5 million and an earn out over the financial performance of 2019 at a multiple of 5.2, aligning the interest of both sellers and buyers. The combination of Alpha's capabilities, its technology and risk management expertise together with CFH being a well-established tier 1 liquidity provider and it's best of breed liquidity control technology and markets technology on marketing back office and unique trading platform offering positions TradeTech Group as a significant B2B provider with a unique full turnkey offering to brokers. So while we are talking about becoming a provider of choice to brokers, let's discuss the value chain and what brokers actually need to become successful and responsible in the industry. At the top of the slide, you will find the front-end customer facing platform. A lot of the market participants offer MT4 as their sole platform for trading and others offer that as an additional platform. MT4 is a generic legacy platform used by many. It is not tailored for any specific demographic of traders and requires traders to be educated in order to understand how to use it. MT4 was succeeded by MT5 in 2010, although MT5 is yet to gain industry wide momentum. By offering MT4 or MT5, brokers will need to invest in training teams and educational support as customer requires those on an ongoing basis. Some brokers, such as markets.com, have developed their own trading platform, where their approach was to tailor the offering to their own target demographic. This supports a modern intuitive type of offering, which enables customers to self convert deposit and trade with minimal levels of hand holding. Offering education to customer is then focused on the quality of trading methodology, tools to traders, access to the market and analysis and not on the technical aspects of using the system. This is where markets.com is unique in its offering, similar to only a very few in the market where it comes to the retail demographics of customers. Beyond that, you will find the longer list of other trading platform, some related to social trading, some to other demographics. The next stage is CRM and back office system and capabilities. This is the trading equivalent of the Playtech IMS and where we are unique and able to offer to our customers, whether they are using our trading platform, MT4, MT5 or any other third party system. This provides our customers a complete 360 degree view and analytics on their business, and a tailored system to manage their business in a holistic view together with seamless communications between the various departments, real time data analysis on trading activity and full monitoring tools for compliance and regulatory monitoring. The next stage in the value chain is dealing in risk management capabilities, which, as I explained in the previous slide, is where we now have access to unique capabilities, technologies and expertise. Brokers will need access to liquidity and liquidity technology. Brokers will split between those who access an STP broker, where they are not the counter parties to others and others who will be, but need to hedge a significant part of their activity and those who will absorb most of their trading flow with minimal hedging, subject to their own balance sheet and risk profile. Accessing such liquidity through a CFH or other provider will require aggregation and connectivity technology, which is offered today by only a few tech providers. And lastly is of course the business intelligence to cover all of the aspects of the business from front end analytics to back end to risk management, liquidity and more. As can be seen from this value chain slide, we are well positioned to cover a very significant part of the overall offering, putting us in a unique position as the provider of choice to brokers. Playtech group is now beginning its momentum in gaining brand recognition across the industry and already being recognized as a significant B2B provider in the space with a pipeline of opportunities growing in the back of it. Playtech group is no longer just about markets.com business, but now includes an extended high net worth segment for its B2C business on the back of the Alpha acquisition rebranded as MarketsPro together with the newly established TradeTech Alpha business with its unique risk management technology and expertise and of course CFH as a Tier 1 liquidity provider. So before I finish, let summarize and talk about the outlook for the business going forward. Our B2C business continues to perform well with first depositors and active customers growing significantly and focusing our efforts in making markets.com the home for trader, providing our customers with more tool capabilities and insight to better service them. We see significant B2B opportunities both individually for CFH, TradeTech Alpha and TradeTech technology and also on a holistic turnkey solution. We will continue to grow our existing business organically with further growth coming from new business, and we continue to expand our pipeline. We will continue to evaluate expansion into further markets and jurisdictions, both taking into consideration regulatory changes and evolution. And we'll continue to evaluate further M&A opportunities to further expand our offering and capabilities in the same way we successfully did throughout the years in the Playtech group. With that, I will now hand over to Mor for his operations review.
Mor Weizer: Thank you, Ron, and good morning, everybody, thank you for coming today. A lot of you here know me, you know me well, and you're probably used to hearing me repeat myself. However, this time, I'm going to repeat something long-said, that is very proud to be here today to present the result. I'm very proud therefore to be here today to present to you the culmination of all the hard work everyone at Playtech has done in the first half of 2017. It has been another very busy period for the gaming division of Playtech. We have delivered a 28% increase in revenue at constant currency. This was driven by double-digit underlying growth in our flagship Casino vertical. Importantly, to augment the organic growth across the business, we have worked hard to integrate this strategic acquisition achieved in 2016 and at the beginning of 2017 with the acquisition of specialist content provider Eyecon in February for €29 million. The first half of 2017 also saw us work hard to continue to execute our proven strategy, and we achieved important milestones in three very important areas. Firstly, the momentum in key licensing renewals continued in the half, allowing us to lock-in future growth by extending our agreements with strategic partners such as Paddy Power Betfair, Betfred and Skybet. We also achieved a landmark agreement in our new Sports division with signing of Greek operator OPAP in February 2017. Secondly, we made significant progress in the execution of our industry leading omni-channel solution by investing in the deepening of our offering in the key verticals of Casino, Sports and Live Casino, creating the building blocks for our future growth. Finally, an important pillar of our strategies to deliver a long-term sustainable business model is to continue to grow our regulated revenue. And I'm pleased to report that the regulated revenue at group level increased to 50%. Not only has H1 2017 seen us achieve important strategic progress in key areas, but we have also continued to invest in the future building blocks of the company to continue to deliver a sustainable and long-term business model and platform for growth. In addition to the contribution to growth from the integration of acquisitions from 2016 and in the first half of 2017, important work was done in the first half to utilize the acquisitions of BGT, ECM, Quick spin and Eyecon to deepen Playtech omni-channel offering and as we call it Playtech One. H1 has seen us continue the momentum in long-term agreements with our Tier 1 customers and all Tier 1 customers now secured for a significant period of time. Our position as a strategic partner to the leading Tier 1 operators in an increasingly competitive market saw us invest further into existing relationships with a number of new launches and new technology deliveries. Our licensees rank amongst the largest and best in each and every commercially viable jurisdiction, and it is our job to help them extend the reach and support their continued growth. Investments in our platform continued in the period with our new casino game platform delivering its first games to customers. The new platform simplifies and streamlines games development across mobile, retail and web, and it is also -- it also includes exciting new data-driven delivery tool in a sophisticated, fully integrated content solution. Following the opening of our new industry leading Live Casino facility earlier in the year, the first half saw the completion of the migration of all licenses to the new studio and the ongoing migration of customers to our new and revamped Live Casino 2.0 solution. Importantly, the period also saw us continue to deliver industry defining gaming content. The first half saw the culmination of our long-term strategic project to replace the Marvel Studios games content. The industry first agreement with DC comics coupled with Playtech's on Age of the Gods suite have combined to deliver greater players number more than replacing the previous content. The first half of the year saw us complete more than 30 strategic projects for Tier 1 customers from helping them to evolve their technology and product offering to launching new market. There has been increased commentary from the leading operators on the growing competitiveness of the industry, and this has been reflected in the changing priorities of Tier 1 operators. We will look later in the slides about how our omni-channel solution is helping operators increase their focus on customer retention as well as customer acquisition. But we also see increased demand for new products in new markets and new technology and infrastructure to support this, including tools and solution that lead to better attention and monetization of their existing player databases. The first half saw us partnering with bet365 to launch new Casino and Poker offerings in Spain and Bulgaria. And with Sky Bet, we launched Sky Italy Casino and Live Casino, which we will talk more about later. Our role as a strategic partner is all the more pronounced when we look at the consolidation in the sector. As the technology provider to Ladbrokes Coral, we worked extremely closely with the teams at Ladbrokes Coral to launch their new IMS side and as the technology provider for both of the company's infrastructure, we have helped them significantly advance the integration. With Paddy Power Betfair, our role has been equally as important in the progress of their integration. Moreover, demonstrating the breadth of the Playtech model, Paddy Power also deepened its relationship with Playtech BGT Sports in the first half. With William Hill, we completed an IMS upgrade project and importantly helped them with the migration to a single volatile cost all vertical, allowing for targeted marketing and seamless customer journey. In addition to the progress made with our U.K. partners, we are also continuing to work closely with our strategic partners in Europe and key markets such as Latin America, with there, for example, we hope to launch Casino platform in Spain. We launched for the first time in the new market of Finland with Veikkaus after its merger with Ray and also with eFortuna in the Czech Republic for the region's first every online Casino following new regulation in January 2017. In Italy, the [indiscernible] branded content was further demonstrated with the launch of the DC Comics and Playtech's own Age of the Gods suite game launching with Snai & Sisal. Now we move back to the part of the presentation where I repeat myself. You have heard me talk about our omni-chance solution many times, and it is a phrase that we hear from many sources in the gaming industry. Although multi-channel approaches in the industry are common with most, if not all, B2B business referring to the same content across web, mobile and retail, Playtech's approach to omni-channel is very different, very unique, as our single CRM allows for a single customer profile regardless of channel or vertical. We believe that omni-channel offering act as an ecosystem that incentivize the player to remain loyal to the operators and their brands and although content is important, it is only one single part and element of the ecosystem. Playtech ONE, our omni-channel solution, provides operators with a tool to create a fully integrated ecosystem that allows customers to travel through brand, through channel and throw verticals and further. The Playtech ONE ecosystem allows operators better visibility across the players' activities and cross channel promotion and give them the tools to better promote the brand and strengthen the relationship between the players and operator ultimately for the benefit of both of them, ensuring the customer remain loyal to the operator's brand. To offer a seamless experience across verticals and facilitate player traffic between channels, Playtech is working tirelessly to ensure that it has industry leading and engaging content and experiences across all channels and verticals, including cross channel promotions that retain customers' travel between the different channels rather than traveling away to competitor. The integrations of BGT and ETM have allowed Playtech to capture retail traffic and seamlessly offer them online content and vice versa. The creation of Playtech BGT Sports, also known as PBS, is a significant step in the execution of our omni-channel strategy. Firstly, the popularity of the Sports vertical means it is a key customer acquisition channel for operators and acts as the gateway into higher-margin Gaming vertical. Moreover, integrating our sports operations with BGT has entrenched the powerful retail channel in Playtech ONE. The integration continuing, and we expect it to be concluded in mid-2018. ECM, which provides digital platform and product for retail bingo environment is also an integral part of our omni-channel approach and allows us to enlarge the ecosystem Playtech ONE creates on a larger basis. The acquisitions of Eyecon in H1 and Quickspin in 2016 further enhanced the premium content available across Playtech's gaming portfolio and broaden the offering to different target demographics, further strengthening the depth of out Playtech ONE approach. The completion of the launch of Playtech's new live studio in Riga has revolutionized Playtech's offering in the vertical and the completion of the migration of all the dedicated licensee tables is continuing to revolutionize how operators think about live casino. It is fully integrated into our casino offering and based on Playtech ONE's infrastructure. During the period, we continue to deploy our new fully integrated and revamped Live Casino 2.0 system, which is designed to improve performance, and is allowing us to accelerate introduction of new Live Casino product and feature. Central to Playtech's strategy is to continue to drive product evolution in vertical to retain operator and customer engagement within the omni-channel ecosystem. In H1 2017, PBS launched its evolutionary retail mobile app named Bet Tracker. Bet Tracker went live with Betfred in August 2017, and Jennings Bet, Boyles and Plucs will also follow in H2 2017 results. The Bet Tracker product is leading the digital transformation of the retail sports experience, allowing customers to track their bets placed in store on their mobile phone without already having a mobile account, giving operators increase touch point with their customers. Key extensions have been secured with Betfred taking another 600 terminals and Paddy Power Betfair another 800 in the next year with both secured until 2020. In addition to these headline customer, PBS is key strategic partner for the independent bookmakers in the U.K. and Ireland and all key independents have renewed their agreements until 2021. In H1 2017, PBS continue to focus on the opportunity to grow its retail customer base in Europe. Early in the period, PBS announced a three year agreement with OPAP, a leading Greek betting and lottery operator for the supply of SSBTs, relevant software and services and the subsequent introduction of an over the counter, OTC, sports betting solution. In addition to OPAP, H1 2017 also saw PBS launch SSBTs with a number of groups in Malta, Romania and Spain as well as the Czech Republic and Germany. As outlined at the fiscal year 2016 results, alongside Europe, a key focus for the PBS SSBT product was growth in Latin America. H2 2017 will see PBS install a first phase SSBT in Colombia with two customers. In addition, PBS has been able to leverage the existing relationships across the Playtech group and the first phase of SSBT will be installed with some of Playtech's existing customers in late 2017 and into 2018. The integration project is ongoing, although I'm delighted to report that PBS will launch the first consolidated web and mobile sportsbook project later in the year and a fully omni-channel including retail in the first half of 2018. These industry first products will provide operators with a full omni-channel solution, providing their customers with a single betting account across the web, mobile, SSBTs and over the counter in betting shops. Playtech's approach in sports is unique in the market today. Our omni-channel approach is uniquely appealing for retail sports operators that intend to launch or have online gaming in regulated and yet to be regulated markets. Unlike traditional sport B2B businesses that focus on either retail or online, our newly formed PBS division offers an integrated offering, bringing together retail and online on one platform, a uniquely attractive answer to retail sports operators that stick to leverage their existing position and extend to online. This strategy is driven by our experience in all commercially viable jurisdictions where sports in most cases the first to be regulated, and we have seen retail sports betting companies launching online gaming and become a dominant force in the market over a relatively short period of time, and the fact that in many cases even the retail activities are based on outdated legacy system. Further progress in developing an industry-leading offering across all verticals was made with the launch of our new legalized casino facility. The 8,500 square meter capacity studio has technology at the heart of its design with high specification cameras, catering for 100s more custom-made tables and gaming areas, and advance control and monitoring center and large-scale dealer campus that will be used to train and develop all Playtech's Live's staff. An important part of Sky Bet's long-term multi-product deal with Playtech was the renewal and extension of its Live Casino services agreement. These included the launch of Live Casino on Sky Italy Gaming site during the period. The sophistication and success of the new Live offering was reflected in Sky's winning the eGaming Review innovation in Live Casino. Sky went live with its new state-of-the-art dedicated Live Casino environment in April earlier this year and won the award for offering players an experienced omni-channel experience, product enhancements and richer game play. In early 2017, Playtech launched a augmented reality experience within Live Casino. The augmented reality roulette themed around Playtech's Age of the God game uses the latest augmented reality technology to significantly heighten the live experience with 3D graphics that can be configured to suite any operator requirement. The game concept is aimed at not only creating a next generation gaming experience, but also giving Playtech licensees greater flexibility and further opportunities closer to a new demographic of player who would either have not previously considered or who could potentially reconnect to Live Casino. I now want to turn to an important part of our model that has still important progress in H1, albeit t not in terms of earnings. I will update you all on the Sun Bingo contract shortly. But first I wanted to look at the attraction of white label agreement, the benefit to Playtech and how they will continue to be an important part of the model. White-label contracts offer long-term high levels of attractive regulated revenues in developed and high-profile market, driven by well recognized and respected brands. The Playtech B2B model is proven in the gaming industry and all the important elements for a B2C operation exists within our infrastructure. It allows us to further establish ourselves in the regulated market by entering into a long-term agreement, which is longer in nature, given the early investments in the first year by both parties and expose itself to more elements of the value chain as the service provider on a larger basis and scale. Given the scale of the Playtech model and the resources already utilized, white-label agreements represent incremental software revenues for the group, generating incremental operating cash inflow, which can then be redeployed within the business, including for R&D and M&A. Turning now to look specifically at the contract with News International for Sun Bingo and Fabulous Bingo. As a reminder, although the migration was successful from a technological perspective, there were challenges migrating all of the VIPs. As we mentioned at the AGM, we made changes in Q2 to both management and the offering, which led to poor KPIs and performance. However, as you are all aware, Bingo is very much a U.K. business, which is also seasonal, and the full benefit of the changes made were offset by exceptionally good weather combined with the U.K. summer holidays. There is significant operating leverage within the Sun Bingo contract due to minimum guarantees payable to News International, which means that as revenues increase, we will see the benefit drop straight through to the bottom line. There is no silver bullet here, but you can take it for me, we are very focused on making this work and continue to believe in this proposition. Ultimately, we expect to further improving performance throughout the remainder of 2017 and beyond. Moving to look at current trading. So far in Q3, traditionally the slowest quarter of the year, trading is in line with our expectation, even the unusually high level of activity in Asia at the beginning of the year, which has since returned to more typical growth rate in the other dynamics we have outlined previously. On outlook, we are confident of a strong performance in 2017, driven by both organic growth and the acquisitions made in 2016 and 2017. Our licensee pipeline, some of which is already at signed head of term stage, is focused on large, high quality omni-channel opportunities as well as sizable high quality operator in existing and soon to be regulated market. This result do contain an unusual number of moving parts, whether it is FX, licensee changes or contract amendments from sector consolidation, but what remains constant is that we are driving continued organic growth, our prospects are good, and we are successfully executing on our M&A pipeline. This also highlights the benefits of our diverse business model and while we are confident of delivering a strong underlying performance in 2017 and beyond. Finally, before we move on to Q&A, I'm delighted to be able to extend a very important invitation to you all. We are speaking a lot today about the new high-quality studio we have developed in Riga and now it is driving product evolution in the Live Casino industry. We would like you all to come and experience this firsthand, and we'll be holding an Investor and Analyst Day in November this year. There will be more detailed presentations on the progress in Live along with toll of the new facility and the opportunity to meet management in the Live business. We will also provide further insights into and across the e business, and we'll follow up shortly with a more detailed invitation and agenda. Thank you all for your attention. We will now take questions. Thank you.
Q - Ed Young: Good morning it's Ed Young from Morgan Stanley. Three questions please. First of all, can you talk a little bit about like-for-like H1 gaming growth rates ex-Asia, or perhaps regulated versus unregulated? And can you just give us a bit of color on the moving parts with this slower current trading and your expectations going forward for H2? My second question related -- you've talked about a slowdown from more normalized level of growth in Asia in H2. Can you just comment again a bit of context around that? Is that anything to do with the market, anything to do with regulation or anything technical or is that more competitive prices there? And then finally, can you just comment on balance sheet in terms of do you have a sort of time frame over which you would like to move to a more efficient balance sheet and can you make any comment on the pipeline of acquisitions? Thanks.
Andy Smith: Okay. Let me do the first and fourth question and Mor can do the others. Like-to-like ex-Asia, it's not [indiscernible] but I will say still positive. Obviously, there's good white-label growth in there as well. The difficulties as well is the and -- by sorts of focus on Asia, it misses the point that this growth in some of the possible business, but then some are going backwards. And that's why there are so many moving parts. If I just gave the sort of the Asia growth of ex-white label or whatever, each sorts of misses that. If you had all the growth together, its well over 100% and then bring it back to things like Marvel, Pokerstrategy, Mobenga, et cetera, et cetera, but it is the positive number. On the balance sheet, I don't think we're committed to a time. I've made no secrets, but I'd like get some more efficient balance sheet with more leverage. I think realistically, it's probably going to depend on M&A, because every time we do some M&A, we'll look at debt funding it and if that M&A comes off and its size split up, we'll get there naturally. If it doesn't happen naturally, I think we'll have to think about perhaps over time, we tend [indiscernible], but I don't with -- I'm sure that someone's going to ask a question about M&A, what's happened this year, and I'm sure Mor will go on to explain exactly how our dynamics have been and explains why we [indiscernible].
Mor Weizer: Yes. On Asia specifically, we have seen increased levels of activity in -- towards the end of last year and the beginning of this year, mainly the first part of the first half of the year that went into the second quarter. And the reason being is the changing dynamics of the market, the growth that we saw and the failure of other B2B providers to deliver. Obviously, given the levels of activity, you have to have a very robust and very simple system. I think that it's a key in order to succeed, this is something we realized early on. If you ask certain operators in Asia, they actually -- it always starts with the stability of the system. People are -- they fare in across the region, are very superficial. They want to feel comfortable, they are not being fake, their systems are stable, and we're very much focused on that since early days. We used the phrase in the past when we talked about Live Casino, seeing is believing, and it kind of reiterates the point. So it was always -- we put a lot of efforts and it was always the case that we needed to ensure that our systems will be robust. Unlike other operators, we have I believe today the most robust system in Asia as well as outside of Asia, across the industry and [indiscernible] to be very successful when others fail to deliver when the system started failing on the back of increased activity. It led to obviously increased levels of activity and obviously, these changing dynamics in the market led to more traffic coming out of way instead of because at the end of the day, if I use an example, take for example Italy, if one of the bookmakers will -- if servers will fail, it doesn't mean that the players will not place the bet on the football club that they support, but simply go as well until servers will be up again and then majority will go back. This is what we saw for few good months until other B2B businesses managed to cope with the size. If we assumed more typical growth rate, and I think the that important message, the current trading is against very high levels of activity in the first and second quarters. When I say that it will -- and already resumed to a more normalized level and typical growth rate, I do want to make it very clear that we do expect in the second half of the year, a solid double digit growth year-on-year in the second half of this year. So it's not to suggest, and I know that the current trading, which is not very -- which are when you taking debt -- putting debt aside, it's not very far from what it was last year. If you look at the interim results last year and when you factor in Asia, it's not very far. And accordingly, I would say we are still very confident about the underlying growth of Playtech, the underlying growth in Asia and the opportunities that we have. I want to give everyone the assurance that this is indeed the case and people should not interpret or translate it in any other way.
Unidentified Analyst : Three quick questions on TradeTech if I may, margins, big jump in margins, EBITDA, would you think those margins could get to realistically for TradeTech? Secondly, you reference CPA within the B2C, within TradeTech. Could you quantify CPA? And then lastly, B2B TradeTech, is that mainly a product for retail brokers or could you actually get into institutional flow?
Mor Weizer: So I'll start with margins, obviously. I would say that I think we have come to a point where obviously we see margin expansion off a back of a variety of things. One is the improvement on the B2C business altogether and the cost reduction and the restructuring that we had on the B2C business, which allowed us to improve the margin quite significantly. I think we are at the level that right now the margin would be sustainable pretty much where it is. We do think it will continue to improve, but I don't think it will have the same jump it had between H1 '16 to what we see now in H1 '17. I think we're pretty much -- we'll be improving from where we are, but in a more modest way. In terms of CPA, obviously, that refers only to our B2C business. And we see that as -- I mean, this is a number which is not published by any other retail brokering [Indiscernible]. You see some numbers on average cost per annum for acquisition, which is a very different number. So I'm inclined to -- I would not provide this number, but I would say that we definitely see a significant improvement in the cost per acquisition between H1 '16 to H2 '16 to H1 '17 and on current trading as well. So we are continuing to improve all the time. And you see that in the reduction of costs and the improvement in margin, both on the B2C business and obviously affecting all together the group. And the last question's on B2B ,remind me again, what was the question? Whether our technology will be on institutional flow? Okay, so some of it is obviously dedicated for retail brokers. Definitely when we talk about the TradeTech or the markets.com trading platform and when we talk CRM systems, that can be actually used beyond just retail brokers, although it mostly tailors for retail brokers. But anywhere beyond that in terms of liquidity control and on the back of the recent acquisition of Alpha, the risk management tools and technologies that we have acquired, this is something which is definitely way beyond just the retail broker phase and can be used for institutional brokers as well. And some of the customers of Alpha today are actually institutional customers. So it's definitely something which is way beyond what we offer today.
Gavin Kelleher: Gavin Kelleher from Goodbody. Just one for more you mentioned the heads of term you've signed with potential new licensees. Can you just give us -- is there a difference in lead times into new contracts now because they're of a different nature and maybe what we should expect, obviously not asking for names, but in terms of potential product and what they encompass? And just on Live Casino, could you give us a percentage of your casino revenue that Live is at the moment? There's two for the moment.
Ron Hoffman: I'll say the last one first as a quick. We don't give an exact number, but it's between 10% and 20%. On the other terms, it's all about given the size of Playtech -- and we signed up a lot of smaller licenses, but given the size and the scale of Paytech, we no longer announce every deal. Obviously, I try to name few of the initiatives, some of the things we have done, and yes, we did announce [indiscernible] and yes, we did announce for two other time and we did announce rate, but we didn't announce the fact that we would become the dominant -- a very important and key strategic partner to Veikkaus, which is by far bigger than Ray following the merger between the two government monopolies in Finland being Veikkaus and Ray. We did a lot of work with smaller operators, mid-size operators, but given, as I said, the scale of Playtech, we never announce those. As for future announcements in the existing pipeline, the existing pipeline remains strong and solid. In some cases, we already have heads of terms secured. You referred to lead times, I would say that the lead times did not change, but the process changed, and I'll explain. In the past, we used to basically sign a contract, we used to negotiate a contract for a period of time, and it was basically followed by an announcement that after we signed a contract and then a project that followed that and then launching the customer in a market or different markets. Today, given the size and the quality, it's about quality rather than quantity, and given the size of both the operators, in some cases, government monopolies are in other very high profile well-established, well-expected, well-trusted brands in different regulated and soon to be regulated markets. Obviously, the process changed and they expect us to initiate the process as soon as we agree the terms. And accordingly, what we do now is we secure the relationship, grew a very short heads of terms that the secures their relationship, the future relationships, and secures the terms of the contract in broad terms, obviously what they pay, how long the contract is and various other points that always take time. So we do a lot of the work at the heads of terms stage. We then initiate, we do not announce though. We start the project and then we negotiate the contract. So if in the past, we used to basically negotiate and then initiate the process. Today, we sign the heads of terms. And as we negotiate a contract, we already work on the project and what's happened then is that soon after we announce and when we are ready with the contract, we usually go live with the customer in the respective market or markets. You could argue that the lead times basically reduce because now we do that. If in the past, we used to negotiate and then initiate that project and then launch, now we actually negotiate for a shorter period of time, basically agreeing to heads of terms. And then as we initiate the project, we negotiate the contract. Altogether, the idea is very simple. We want to be one of the first, if not the first, B2B provider supporting well-recognized, well-established brands in each and every markets. You think about Fortuna, this is exactly what happened. We launched them actually in Romania even before we announced the biggest deal with them. And soon after we announced the deal with them, we launched first in the Czech Republic. When considering the fact that Fortuna is the largest and leading sports betting operator in the Czech Republic, it worked in everyone's benefit. I will end there. So this is how we approach it.
Richard Stuber: Richard Stuber from Numis. Just two questions please. The first is on TradeTech. On the diagram you put up there in the value chain, it looks like you can offer pretty much a full tank utilization. Am I correct to meeting just as of the aggregation and connectivity technology is one element you don't have and in fact something would you be looking for the companies out there which you buy, and just a question on that. And then following that, will that be [indiscernible] solution? And the second question is on Sun Bingo. You said that they had some minimum guarantees. Could you give us any more details in terms of what those guarantees were and how you expect it to breakeven? Thank you.
Ron Hoffman: Yes, so I'll start with the value chain slide. So in terms of the offering itself, yes, I mean the aggregation technology is a layer that we don't have internally in TradeTech . We are looking into that. There are some companies which are specializing specifically in that technology aspect. It's very technical. It's less -- I mean, it's very sort of a unique set of technologies . Some view that as a commodity rather than as something which is more of a value. We're still evaluating that. I'm not sure it's actually something which is a commodity. There are opportunities on M&A for that part of the business, for that section layering the value chain, so it is something that we are looking into in terms of acquisitions. In terms of sort of having a full offering other than some very specific like social gaming platforms and areas which we don't service today or some niche areas, which we don't service today, we believe that we are very close to -- I mean, we're pretty much a full turnkey solution provider already. The areas that we are missing are very niche in terms of the offering like social trading and all. Okay, on Sun Bingo, obviously, I can't give the level of the guarantees of it because it's commercially sensitive, but to take on the contract, a news international needed to be -- they're going to be at the same level when they were make any contracts with the previous provider. So just to explain the dynamic, obviously, you have the NGL. We have our costs of that, they have a level of minimum guarantee and what's left is our profit. You can imagine that if NGL fall significantly, so does the minimum guarantees and that's why you're in the loss-making position. But what it does mean, as Mor said, it's a lot's of operating leverage because the second the NGL gets leveraged straight away, that's [indiscernible] bottom line, hopefully, over time, taking out loss-making positions or profit-making position. I think given where we've been, it would be a little bit premature and quite naive, so I should give you exactly where we're going to be in profits again. It's not going to be 2017. There is a potential for 2018, but I will remain very cautious at this stage. That's the main thing you just don't expect.
Mor Weizer: We do realize that it's a first for us, losing money is not something we are used to. So obviously, something we are putting a lot of effort and focus, we changed the entire management team, we brought in the best expertise that existed across the industry from different operators as well as what we add within the structure and what we had access to. We reduced the cost of operation and obviously given the summer season, we decided to wait with increased marketing or before we increase the marketing, but soon after the summer, we will leave this on the back of marketing and our initiative, an improved processes, including media buying and other marketing, improving the marketing distribution channel, I believe that form here it's only going to improve, and we will see significant improvement in the coming quarters.
Chris Stevens: Chris Stevens from UBS. Just a quick one on BGT. On Slide 7, you showed the revenues with and without acquisition. There's kind of €26 million difference in sports. Is that all BGT and was BGT consolidated from July last year so as we won't get any more coming through from that in H2? And just in terms of how much revenue BGT made on a full year basis, I thought it was around €140 million or so. Just wondering why --?
Andy Smith: No, that's not quite [indiscernible]. And we will never give the exact numbers, but roughly when we -- let's say when we took the chart, it was making around this as €20 million level of EBITDA, we call it. I'm giving a very round number, call it €40 million of revenue. This year, it was going to grow from there, but as you know, it would be worth a loss on the integration that's been sports results, et cetera, but no, that number unfortunately is also high.
Mor Weizer: BGT one of the most important elements. It's not just BGT, it's actually PBS, which consist of not only BGT -- BGT obviously focuses very much on the retail and driving and the people behind BGT are driving the entire thing forward. The PBS decision that we have, Playtech BGT Sports division is actually the driving force for us going forward. Sports remains an untapped market for us. Our approaching is very unique. We either do it right or you shouldn't do it all together. It's a very different market than gaming, and we see this as a huge opportunity for us. You thinking about the installed base that we acquired at the time of the acquisition of BGT. We talked about 28,000 machines. Our [indiscernible] is not far from that if they choose to do this on a full -- if they basically do that across their business in a similar way to the U.K. We referred to that in the past, the addressable market in Europe alone is 500,000 machines. Outside of Europe is another 500,000 machines. We talked about an addressable market with 1 million machines before I even referred to online. if you think about the importance of sports to online being the gateway, we realize that there is a huge opportunity for Playtech. We want to do it right. We decided to focus on two integration, and we'll come out with something that we believe will disrupt the market. All other software providers are either focused on niche solution within retail, whether it is over the counter, not many do that, and there are only n number of companies that try to do SSBTs. And if you think beyond that, beyond retail, in online, all of the other, and it's only a selected number of B2B businesses out there that are focused on online, but its online only. The future lies with a combination of both. The convergence is inevitable. The markets are driven, think about the UK. The markets are driven by sports betting operators, retail operators launching an online gaming hub. Look at the performance in Finland or Veikkaus and Ray. Look at the performance of each and every bookmaker in the U.K., whether it is Ladbrokes Coral or Paddy Power Betfair and obviously, those that have a reach to consumer businesses like Sky Bet, Betfred, all of the -- William Hill, all of those are the dominant force in the market. This is the same in each and every jurisdiction, and in most jurisdictions, the sports betting companies [Indiscernible] and I can go and basically outline the same in each and every market. Sports is one of the first, if not the first, to be regulated. The market is driven by sports betting operator and not only that, but sports betting operators that are usually a combination of retail and online. We have data to prove that the convergence is inevitable, and we believe that this is where we should put our focus and effort, and this is why PBS regardless of whether it grew a double digit growth, which is the case of this year, or more than that, for us in 2017 is less of an issue because we want to get it right. Don't get me wrong, it will show significant and solely double digit growth, right, just to put it into perspective, but I think that people should not [Indiscernible] of the opportunity that exists there -- that exists out there for us. And the fact that from 2018 and later in this year, we will start basically securing the contracts. By the way, if I go back to the heads of term stages or the heads of films that we secured with some operators, including a government monopoly, it's driven by the combination of sports and online. The combination of, I mean, sports and gaming, and therefore, I think that the strategy works, the business model works. We believe that the strategy is the right strategy, and we are going to continue executing again the strategy. Again, this is without mentioning all the initiatives BGT has today with online operators in Colombia, in Spain, in the Czech Republic, in Romania, all of those, they do with retail sports betting operators. And obviously the U.K. with Paddy Power and Betfred and all the independent and various others. All of those are retail sports betting operators, all of those are in online, in markets where I think regulation exists for online. We will speak about the opportunity, and we already started the benefit of them integrating the integration. I mentioned it's one of the future building blocks. They already have some customers of Playtech -- existing customers of Playtech taking SSBTs and vice versa. People extending considering expanding into online.
Andy Smith: We will just take one last question, if that's okay. Sorry, we do need to run.
MorWeizer: Obviously, we will be available afterwords.
Unidentified Analyst: Thank you. [Indiscernible] from Credit Suisse. Just three quick questions. On the slide pack, you said that all Tier 1 operators were now secured. I think the last time, it was 9 out of top 10 licensees. So are all top 10 licensees now secured under a long term contract? And secondly, Mor, you talked about double digit growth in H2 and gaming. Does that correspond to the 11% in H1 and the 3% so far in Q3? And finally, just on trade sack, I think when you first portrayed affect, there was talk about revenue synergies, cross selling it to some of your gaming customers, that doesn't really seems to have come through. Are there any synergies between the two, is the longer-term plan to kind of spin off trade?
Mor Weizer: Yes, I'm happy to say that all the -- actually, it's more than 10 now. Actually most of the 22 customers are now secure for a long-term, but to be very specific, yes, the answer is yes, we secured the top 10 customers now and they all have a long-term agreement with us, so we kind of secured our position for the next many years.
Unidentified Analyst: [indiscernible] current trading is worth more detail.
Mor Weizer: Yes, the current trading actually, if you think about the current trading and even if you strip out obviously, the increased level of activity in the first half of the year, and when you strip some headwinds that we had, and actually I will still don't basically push it too much because we said it many, many times, but I think that people should not lose sight of the fact that there could be just one thing that's happening, it's just if we lost three Mobenga contracts, and it's not just the fact that focus strategy, basically the agreement which was terminated a few years back with focus out came to an end because you enjoy the benefits of the customers, you introduce to focus out for a period of time with a long update which happened. It's not just the FX, it's more just the Marvel expiration, it is a combination of all of that. When you strip that out and you look at the underlying performance in the UK, in Italy, in Finland, in Mexico, in Asia and actually as well, the business still performs strongly, the business supports solid double-digit growth. I don't want to push it too far, but we definitely expect the business model to remain sustainable going forward. And we definitely believe that on the back of lot of initiatives with it, and this is why I mentioned we were very busy operationally in the first half of the year, a new gaming platform, a new sports platform. But at the same time, we signed up a lot of smaller licensees that we haven't announced. We've secured our position with OPAP, which started the rollout of the SSBTs. We extended the contracts with Betfred and with Paddy Power, that will continue with the rollout of new machines. We will continue with rollout of machines in Spain, Colombia, the Czech Republic, Germany, Romania, just to name a few. We secured certain relationships that will go live later this year. And we do a lot of work with existing customers, Kai launching in Italy. But still in the UK, this is significant growth. Bet365 see the same. So it is obviously worth mentioning that we see the changing attitude of book makers that suddenly realize that there is a lot of benefit because of the fact that the markets becoming increasingly competitive and by the way, this is more a UK's team rather than elsewhere. But because the UK is so important for us and because we have a relationship with the largest and best of the operators in the UK and given the commentary earlier this year, I think that people have started realizing that they sit on a gold mine and they can do a lot with the existing database and that they can generate and monetize that, and we obviously always advocated that and we try to educate them and with omni-channel. Omni-channel is all about improving the performance by giving customers or creating an ecosystem, providing the customers a better service, a better product and better tools for the operators, and so players and operators they like. So I would say there are a lot of moving elements still. Still if the underlying performance is good and obviously we came up against some headwinds, but putting that aside, we look at the performance, we look at the relationships, we are very confident that the business model is intact, relationships are secured, and we will be able to continue showing significant growth going forward.
Ron Hoffman: In the synergies between the gaming and financial divisions, so first of all, regulation dictates that this cannot be dictated in terms of sort of cross-selling between one and the other. The only element where we previously discussed about potential revenue synergies between the businesses was in effect to binary options, which in the U.K. is under the gaming regulations and not under the financial regulations, which is an area that we have decided proactively that it's not for us given the scrutiny that's in the market on the binary option brokers. So we made a conscious decision that we're not going to offer that, not on a B2C basis or on a B2B basis. So that's sort of takes away that opportunity. With that being said, we don't believe that this is a big loss for us in terms of the opportunity. I would say the synergies that we have right now are operational and technological. It's about resources to some extent, and it's about knowledge and having the ability to use some of the mindset that some of the technology that we have on the gaming side and in powering our financial back office systems with those capabilities. This is some of the stuff that we have developed in the financial, in the TradeTech for the back office system, came from -- originated from things that we saw valuable on the gaming side, and we thought that would be very viable on the financial side as well, definitely in the areas of analytics and BI capabilities. This is something that we saw the BIT technology and Playtech, and we said this has to be something which is replicating the financial division as well, any scenario where I don't think there's anyone in the market in the same way the Playtech and the gaming division have that completely unique. There is no one in the financial divisions that has the same capabilities. We have the equivalent of the BIT and the IMF in the financial division. This is where we have the synergies for doing the business. In terms of potential spinoff, at this point, we haven't really discussed that as an option. We keep our options open, and we're all about doing what's right for to create value for shareholders, to be honest. We'll consider that in accordance with that.